Operator: Greetings, and welcome to Haverty's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Tiffany Hinkle, Assistant Vice President, Financial Reporting and Investor Relations. Thank you. You may begin.
Tiffany Hinkle: Thank you, operator. Good morning, and thank you for joining us for our third quarter earnings call. I'm here today with our President and CEO, Steven Burdette; and Executive Vice President and CFO, Richard Hare. Before we begin, I'd like to remind everyone that today's conference call may contain forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those made or implied in such statements, which speak only as of the date they are made and which we undertake no obligation to publicly update or revise. Factors that could cause actual results to differ include economic and competitive conditions and other uncertainties detailed in the company's reports filed with the SEC. A replay of this call will be available on our Investor Relations website this afternoon. For commentary about our business, I will now turn the call over to Steve.
Steven Burdette: Good morning. Thank you for joining our 2025 third quarter conference call. We are excited to report an increase in both written and delivered comp sales for Q3. Our sales for Q3 were $194.5 million, which was up 10.6% with comps up 7.1%. Total written sales were up 10% with comps up 8%. Our steady growth in written and delivered sales over the past 4 quarters reflects improvements across marketing, merchandise assortments, promotions, supply chain, distribution, home delivery, service and store execution. While this quarter's results are positive, we remain focused on the significant opportunities in front of us that will allow our return to a $1 billion-plus company with no additional investments needed in our distribution infrastructure. Gross margins continue to be strong, coming in at 60.3% compared to 60.2% in Q3 2024. Our pretax profits for the quarter were $6.4 million or 3.3% operating margin compared with $6.9 million or 3.9% operating margin in Q3 2024. Our EPS for the quarter came in at $0.28 compared to $0.29. Richard will provide additional details regarding the increase in SG&A expenses and LIFO impact for the quarter. During the quarter, our Labor Day event was the company's largest event of the year and was key to our success in the quarter. We had a terrific written 4-day increase of 13.6% over last year with strong metrics. Traffic was positive in the mid-single digits. Average ticket grew to over $4,000 with design average ticket over $8,000. And conversion rates showed a slight -- although conversion rates did slow a slight decrease compared to last year. The industry faces ongoing challenges. High interest rates and rising home prices continue hurting the housing market. Tariffs remain an issue, geopolitical tensions persist, consumer confidence is falling and the government shutdown is now heading into week 5. Recent and planned interest rate cuts have yet to lower mortgage rates or boost the housing sector. Despite these pressures, our customers with household incomes over $150,000 are still spending, giving us confidence for the rest of 2025 and into 2026. Traffic for the quarter stayed positive with growth in the mid-single digits compared to last year. The average ticket increased 6.1%, reaching $3,668 and the designers average ticket rose 11.9% to $7,986. Our design business remained robust, accounting for 34.2% of sales, driven by a 7.1% increase in upholstery special orders. Conversion rates for the quarter showed continued improvement over Q2, finishing the quarter down slightly in the low single digits. Our merchandising and supply chain teams have done a great job moving much of our production out of China during the quarter, so we could resume our special order business. The announcements of potential new tariffs on furniture by the administration in late August was disappointing. Ultimately, these new tariffs were finalized at 25% on all upholstered wood products out of Mexico, along with Vietnam, Cambodia, Thailand and Indonesia beginning October 14, but will be moving to 30% beginning January 1, 2026. Our merchandising and supply chain teams have worked with our vendors to secure pricing to not disrupt any shipments. As with previous price increases, we will adjust retail prices strategically to maintain our values and margins. We appreciate our vendors' collaboration in helping us deliver strong values to our customers. The positive out of these new tariffs is that they are not stackable on the existing reciprocal tariffs put in place back in the summer. We are monitoring the administration's current trip to Asia and the upcoming Supreme Court decision to see what the impact will be on tariffs going forward. The new merchandising team has now been in place for a full year, and we are starting to see their impact on our product assortments. We just brought our store management team from the field to Atlanta for a 3-day leadership event at the end of September to celebrate our 140th anniversary and to show them in person the new products arriving over the next 6 to 9 months. The merchandising team did a fabulous job presenting the new products, creating lots of excitement for our store management to take back to their teams. From a category performance, all categories showed nice increases during the quarter. Bedroom and bedding outperformed all categories with increases in the low to mid-double digits, followed by upholstery and occasional in the high single digits and dining room and decor in the mid-single digits. Our inventories have remained basically flat in Q3 compared to Q2 this year. We anticipate that inventories will increase slightly in Q4 due to the additional tariffs implemented in October. Our marketing creative and media plans continue to resonate with our customers through broadcast, connected TV and digital marketing channels. Our expanded use of AI and data has improved our targeting and personalization, making our marketing investments more efficient. And we saw web traffic, including organic and site engagement increased by double digits as our written e-commerce sales grew 13.6% for the quarter. We invested an additional $2.8 million this quarter in marketing, including our first direct mail campaign in several years. The direct mail piece proved to be very successful in attracting new customers to Haverty with a 12-page layout that showcased our product offerings and design capabilities. We continue offering 60-month no interest financing to remain competitive, and our credit costs continue to remain in line with last year. We completed the closing of the Waco store at the end of September. However, we are pleased to announce the opening of our third store in the Houston market in mid-October. The new store is in New Caney, which is in the northeast part of Houston. This will bring our store count back to 129, which is where we will end the year. We will return to our store growth goals of 5 per year in 2026. As stated on our last call, we have finalized 4 additional leases for 2026 openings in St. Louis, Nashville and 2 more in Houston. We have 1 new market and 1 relocation in the LOI process now, but are unable to announce. We will make investments in our stores throughout 2026 in the bedding departments and design centers to maintain our focus on improving the customer experience. Our distribution, home delivery and customer service teams continue to do a fantastic job controlling expenses while furnishing happiness to our customers. The management teams are great at balancing the number of team members with the workflow demand needed due to natural turnover. We continue to believe that due to Haverty's controlling the final mile delivery with Haverty team members, it is a huge advantage to our success in providing our customers with unwavering service. Thank you to all our Haverty team members for your dedication to our customers and the company's success. Our people define us, and I am proud to be a part of this great team. With a debt-free balance sheet, operational consistency, integrity, consumer focus, in-home design services and our regret-free experience, Haverty's offers confidence to our customers to furnish their homes with the Haverty brand. I will now turn the call over to Richard.
Richard Hare: Thank you, Steve, and good morning. In the third quarter of 2025, net sales were $194.5 million, a 10.6% increase over the prior year quarter. Comparable store sales were up 7.1% over the prior year period. Our gross profit margin increased 10 basis points to 60.3% from 60.2%. Excluding the impact of the $624,000 LIFO expense in the third quarter of 2025, our gross profit margin would have been $0.606. The overall increase in margins was due to product selection and merchandising, pricing and mix. Selling, general and administrative expenses increased $11.4 million or 11.3% to $112.3 million. As a percentage of sales, these costs approximated 57.8% of sales, up from 57.4% in the prior year's quarter. We experienced increased advertising, selling, occupancy and administrative costs during the quarter. Other income expense in the third quarter of 2025 was $348,000 and interest income was approximately $1.1 million during the third quarter of 2025. Income before income taxes decreased $400,000 to $6.4 million. Our tax expense was $1.7 million for the third quarter of 2025, which resulted in an effective tax rate of 26.4% compared to an effective tax rate of 28.3% in the prior year period. Net income for the third quarter of 2025 was $4.7 million or $0.28 per diluted share of our common stock compared to net income of $4.9 million or $0.29 per share in the comparable quarter last year. Now turning to our balance sheet. At the end of the third quarter, our inventories were $92.4 million, which was up $9 million from the December 31, 2024 balance and up $3.7 million versus the Q3 2024 balance. At the end of the third quarter, our customer deposits were $43.9 million, which was up $3.1 million from the December 31, 2024 balance and flat with Q3 of 2024. We ended the quarter with $130.5 million of cash and cash equivalents, and we had no funded debt on the balance sheet at the end of the third quarter of 2025. Looking at some of our cash flow usage. CapEx was $3.6 million for Q3 2025, and we also paid out $5.2 million of our regular dividend in the quarter. We did not purchase any common shares of stock of our share repurchase program during the third quarter of 2025, and we have approximately $6.1 million of existing authorization in our buyback program. Our earnings release list out several additional forward-looking statements indicating our future expectations of certain financial metrics. I'll highlight a few, but please refer to our press release for additional commentary. Our 2025 guidance includes tariffs currently in effect as of October 29, 2025, and does not include the effect of additional proposed tariffs that have not been finalized by the Trump administration. We expect our gross margins for 2025 to be between 60.4% and 60.7%. We anticipate gross profit margins will be impacted by our current estimates of product, freight and LIFO expenses. Our fixed and discretionary type SG&A expenses for 2025 are expected to be in the $296 million to $298 million range, an increase from our previous guidance due to higher anticipated advertising and admin costs. The variable type costs within SG&A for 2025 are expected to be in the range of 18.6% to 18.8% based on our expected level of selling costs for the remainder of the year. Our planned CapEx for 2025 remains at $24 million. Anticipated new or replacement stores, remodels and expansions account for $19.6 million. Investments in our distribution network are expected to be $1.8 million and investments in our information technology are expected to be approximately $2.6 million. Our anticipated effective tax rate in 2025 is expected to be 26.5%. This projection excludes the impact from vesting of stock awards and any potential new tax legislation. This completes my financial commentary on the third quarter financial results. Operator, we would like to open the call up for any questions.
Operator: [Operator Instructions] Our first question comes from Anthony Lebiedzinski with Sidoti & Co.
Anthony Lebiedzinski: So very nice to see the return to positive same-store sales here in the quarter. I know you highlighted the strong Labor Day. Just -- can you comment also just on the monthly trends that you saw in the third quarter and whether or not you saw any notable regional differences in your markets?
Richard Hare: Sure, Anthony. This is Richard. Our written business trends in the third quarter in July, we were up on a same-day week basis, a little -- about 10.6% in July, 10.9% in August and a little over 8% in September. Deliveries were fairly consistent, 11.6% in July, 7% in August and 13.1% in September. I don't believe there are much, if any, regional differences. But Steve, I don't know if you got anything else you want to add.
Steven Burdette: No. Anthony, there was not much difference there. We certainly had probably more strength in the Midwest, Georgia, Central and Florida were -- and Texas were really good. The East was a little lighter, but everybody was positive. All districts were positive across the board.
Anthony Lebiedzinski: That's good to hear, certainly. And then as far as tariffs, is there any way you guys could quantify or like give a sense as to the impact of tariffs that had on the quarter?
Steven Burdette: Anthony, we don't -- a dollar impact, no, because we adjusted in our pricing. I mean, we've been very clear from the beginning. We make strategic price changes immediately once we know the tariffs. And we feel like our positioning on that, even going back to COVID when we were doing all price increases, we know how to handle this and know how to move forward with it. So I don't think we had it. But the impact would come on LIFO, and I'll let Richard talk to that specifically.
Richard Hare: Yes. Thanks. I did mention in my remarks about the impact of LIFO expense on our gross margins. So we are seeing as the tariffs -- as that material comes in, in the third quarter, and it will continue to come in the fourth quarter, you'll see our LIFO expense go up. So I believe last year, we had a LIFO benefit of around $800,000 for the year. So far this year, we have LIFO expense for the first 3 quarters of about $750,000. So I would expect to continue to see some more LIFO expense roll through the P&L throughout this year and probably into next year.
Steven Burdette: But Anthony, I don't -- we don't see that as an impact. We've been able to grow sales, and we've changed the prices and maintain our margin. So we feel good about where we're going in the direction we're taking with it, how we're handling it.
Anthony Lebiedzinski: Understood. Okay. Got you. Okay. And then just in terms of your expense guidance, I know you talked about higher advertising and administrative costs. How should we think about those for next year? Do you think that trend will continue? Or just overall, just wondering if you could comment on what you're seeing in terms of cost of running the business?
Richard Hare: Yes. I'd say for this year, we went up maybe about $5 million band on our non-variable costs from the last quarter to this quarter for the year. About 3/5 of that was advertising cost. The rest is on the administrative cost is more incentive compensation. This year, we are hitting our annual targets in our incentive plans. Last year, we were not. So it's kind of a tough comparison. We have not developed our full budget for next year, but I would expect basically normal inflationary type increases, nothing significant to note in the non-variable side of the business.
Steven Burdette: Anthony, let me speak to the marketing specifically. In '24, we basically pulled back too hard. We were experiencing some double-digit decreases in written. We're trying to manage the business. We had an election going on. And we basically -- if you remember from Q2, we increased our marketing expense. I think it was about $1 million. We upped that -- in the third quarter as well. We felt to levels that it needed to be. And I might want to remind you of that $2.8 million. About half of it is due to the Houston market is now new to us, and we're investing more advertising as we led to that -- our third store opening there. And then obviously, we also returned to direct mail, which we think is a key part of our direction going forward. So we have one event now that's out in the fourth quarter as well right now. So -- but I don't see marketing. I think we've gotten it back to levels that we can sustain. And I think for 2026, we'll be fairly flat with where we are in '25.
Operator: Our next question comes from Cristina Fernández with Telsey Advisory Group.
Cristina Fernandez: Congratulations also on the positive comp. I wanted to see if you can talk more about the composition of that comp. It definitely seemed like ticket was the bigger driver. So I wanted to understand, is that mostly due to the price increases? Or are you seeing consumers kind of trade up on the price points or navigate to some of those bigger ticket items?
Steven Burdette: Certainly, average ticket is driving that. One thing that we do look at is we have been able to drive our design tickets up by selling -- we're selling basically more pieces to the consumer. We measure that. And so that's helped drive it. But obviously, price increases are having an impact on that as well. I don't have a direct breakdown between the two, Cristina, but there's certainly both of those. And I will also add conversion rates, while we're not above last year, we are getting, as I commented in my notes, we're basically low single digits, and we were running mid-single digits at Q2 when I reported. So we're seeing continual improvement there, and that's obviously still a focus for us and where we think we still have significant opportunities moving forward.
Cristina Fernandez: And then on the price increases to offset the newer Section 232 tariffs, what's the timing of that? Have you already taken some or that's something that's going to take place here in the fourth quarter?
Steven Burdette: It has already taken place in early October. We got -- as soon as we knew and got to it, as I said, our merchandising and supply chain teams were working with our factories to get everything solidified and price changes were made early to mid-October. So they are already in place now as we go forward.
Cristina Fernandez: And then I also -- my last question is on the, I guess, bigger picture, how should we think about the level of sales where you can leverage SG&A expenses? I mean you had a great growth rate this quarter, 10%, but expenses grew faster than that. So should we think about a growth rate or more an absolute number of sales that will allow you to leverage those expenses and start to see operating margin expansion year-over-year as your sales grow?
Richard Hare: Yes, Cristina, if you look historically, when we get particularly above $800 million and -- $800 million to mid-$800 millions, you really start seeing some expansion there. And then as you saw during the COVID years when we blew $1 billion, you really saw it fall. So I would definitely, in my mind, over $800 million, you really see it falling significantly to the bottom line.
Steven Burdette: Yes. And as I commented on the marketing, Cristina, we're going to keep that. We think it will be fairly flat in '26 to '25. So that will be an opportunity to leverage as well. We can continue to get the growth.
Operator: There are no further questions at this time. And I would now like to turn the floor back over to Tiffany for closing comments.
Tiffany Hinkle: Thank you for your participation in today's call. We look forward to talking with you in the future when we release our fourth quarter results. Have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.